Operator: Good morning. My name is Miranda and I will be your conference operator today. At this time, I would like to welcome everyone to Parkland 2022 Q1 Results Analyst Conference Call. [Operator Instructions] I would now like to turn the conference over to Valerie Roberts, Director, Investor Relations for Parkland. Please go ahead.
Valerie Roberts: Thank you, operator. With me today on the call are Bob Espey, President and CEO; Marcel Teunissen, Chief Financial Officer; and Ryan Krogmeier, SVP, Supply, Trading and Refining. This call is webcast and I encourage listeners to follow along with the supporting slides. We will go through our prepared remarks and then open it up for questions from the investment community. Please limit yourself to one question and a follow-up as necessary. And if you have other questions, reenter the queue. We would ask analysts to follow up directly with Investor Relations team afterwards for any detailed modeling questions. During our call today, we may make forward-looking statements related to expected future performance. These statements are based on current views and assumptions and are subject to uncertainties, which are difficult to predict. These uncertainties include, but are not limited to, expected operating results and industry conditions, among other factors. Risk factors applicable to our business are set out in our revised annual information form and management’s discussion and analysis. We will also be discussing non-GAAP and other financial measures, which do not have any standardized meanings prescribed by IFRS. These measures are identified and defined in Parkland’s continuous disclosure documents, which are available on our website or on SEDAR. Please refer to these documents as they identify factors which may cause actual results to differ materially from any forward-looking information or statements. Dollar amounts discussed on today’s call are expressed in Canadian dollars unless otherwise noted. I will now turn the call over to Bob.
Bob Espey: Thank you, Val and good morning everyone. We appreciate you taking the time to join us to discuss our record first quarter results, which has set the stage for a strong year. Before I begin, I will highlight the photo on the cover slide, which showcases an M&M retail location in Calgary alongside our On the Run branded vehicle. We are excited about the coming together of these brands, which will enhance our food – quality food offering and provide customers with even greater convenience. M&M is one of many steps we are taking in our retail diversification strategy to expand our proprietary food offer. In addition to its retail network and capital-light operating model, M&M creates a runway of organic growth opportunity for us to offer a high-quality food offering. Parkland delivered an exceptional quarter against a volatile backdrop that ongoing COVID recovery, inflation and the invasion of Ukraine. By focusing on our customers and by staying one step ahead of their evolving needs, we demonstrated the strength of our proven integrated business model and our ability to thrive through various economic environments. During this call, we’ll share the highlights of the quarter. Our integrated supply model delivered record results across all 3 regions. Our renewables EBITDA was $25 million in the quarter. We grew our mining business by 60%. We continue to expand the On the Run convenience brand by adding 37 sites. We grew our JOURNIE Rewards loyalty membership by 10%. We accomplished a co-processing first using low-carbon intensity tall oil, a product of the forest industry. We advanced the integration of our acquisitions from last year, and we maintained a strong balance sheet despite working capital headwinds that increased our leverage. I would like to thank the entire Parkland team for a strong start to the year and for delivering record results, which continues to demonstrate the quality of our team and the trajectory of our company. Now, let’s start. We continue to expand our customer base and successfully grow the contribution from our marketing businesses. Our accomplishments generated adjusted EBITDA of $387 million in the first quarter. In addition to underscoring our confidence in achieving the high end of our 2022 adjusted EBITDA guidance, our performance puts us on track with our $2 billion run rate ambition by the end of 2025. Before Marcel walks through the enhancements we have made to our reporting disclosures and does a deeper dive into our Q1 performance, I’d like to take a few minutes to outline the strategic themes from the quarter. Teams in each of our markets continue to advance our strategy, which is built on our unique supply advantage, which is embedded across our marketing business. We continue to advance the integration of great companies we welcomed to Parkland last year. In parallel, we successfully managed the impacts of inflation while optimizing margins. During the quarter, we continued to advance our retail initiatives. We added 37 On the Run stores and grew our JOURNIE membership by over 10% from Q4. Yet again, driven by proactive sales efforts and strong volumes and margins, we continue to prove the strength and resilience of our commercial business. As an example, as residential customers and new homebuilders’ transition from furnace oil, we grew volumes in our Eastern Canadian propane business by almost 15% versus Q1 last year. We see green shoots of the tourism industry. And during the quarter, we secured marine contracts for over 130 million liters per year, spanning the international cruise lines and the provincial ferry sectors. As you know, we are committed to leading our customers through the energy transition, helping them lower their environmental impact. Our activities are far reaching and I’d like to draw your attention to one highly innovative accomplished from our renewables refining activities in Burnaby. Recall in 2017, our Burnaby refinery became the first in North America to co-process bio feedstocks using existing infrastructure. We extended our leadership in Q1, delivering a world first by co-processing tall oil. This feedstock comes mainly from pine trees and is a byproduct of the pulp mill process. Ryan will talk about this later. During the quarter, we benefited from last year’s U.S. and international acquisitions and closed our previously announced purchases of Crevier and M&M Food market in Canada. Each transaction advanced our strategy to further develop our platform, diversify our revenue streams and strengthen our customer offer. Recall that we effectively executed 2 years of acquisitions in 2021. On the last call, we estimated that we could generate $80 million of synergies by 2024 on the $200 million of acquired EBITDA included in our guidance. We are now focused on integrating these high-quality companies capturing the synergies, driving organic growth opportunities and on reducing our leverage by slowing down acquisitions. Consistent with our commitment to deleverage, we have decided to defer our option to acquire the remaining 25% of SOL in 2022. With a record Q1 performance, 2022 is shaping up to be an exciting year. I will now pass it over to Marcel to discuss our results in more detail.
Marcel Teunissen: Thank you, Bob and good morning everyone. The team delivered an excellent quarter, and I echo your congratulations as well. I will focus most of my comments on quarter one results. However, I do want to start with the changes we’ve made to our reporting disclosures. We did this to align with the strategy we communicated last year and to provide greater transparency into our operations and underlying financial performance. So what has changed? Firstly, we have moved supply, trading and wholesale in Canada from the supply segment to Canada. This aligns the Canada’s segment to our U.S. and International segment. It also reflects that these activities support our customer-facing divisions. Secondly, and as a result, we are now able to report a Burnaby refinery as a separate segment. Also to provide additional insight, we have added the line of business reporting, which highlights the performance of our retail and commercial business across Parkland. And lastly, in line with our strategy, we have provided details on our renewable and conventional results as sub-segments. And to help you with this transition and for comparative purpose information for prior periods, prior periods have been restated and reclassified. Turning now to our results, as Bob mentioned, through a period of ongoing economic volatility, we delivered a record quarterly adjusted EBITDA of $387 million. And this marks an excellent start of the year, and we are confident we are trending towards the high end of our full year guidance range. At a macro level, as COVID restrictions roll off, we see customers driving more. This is reflected in our total volumes, which are up 26% from quarter one 2021. With that, let’s take a closer look at our segments. I’ll begin with Canada, where we delivered an adjusted EBITDA of $191 million. This is an increase of $42 million from quarter one 2021 on a comparable basis, reflecting robust margins, ongoing recovery of fuel volumes, the impact of our Crevier and M&M Food acquisitions and organic growth. While we saw volumes improving during the quarter compared to quarter one 2021, they have decreased slightly compared to quarter four. We attribute this to loosening provincial COVID restrictions and a gradual return to office workers to commuter markets being dampened by increased COVID cases and record pump prices. Provinces remain 10% to 15% below pre-COVID volumes, and this gives us confidence that there is further upside in continued recovery. Excluding cigarettes, we saw 1.7% growth Food and Company same-store sales growth. This was underpinned by beverages, up 8.5%, in center of store categories up 8.9%. Our retail operations continue to benefit from productivity enhancements such as refreshed coffee, such as fresh coffee and frozen beverage offers, merchandise analytics and store layout optimization. We expanded our convenience margins from 29.8% to 32.9% in the quarter, reflecting the inclusion of M&M and a shift in the sales mix. You may remember that last year, our retail team harnessed a new sales channel in the form of third-party delivery through services such as SkipTheDishes, DoorDash and Uber Eats. During the first 3 months of the year, we saw 40% year-over-year growth in this channel and we will continue to progress this initiative as we look to serve customer demand. We are seeing some changes to consumer behavior in response to rising inflation. Average fuel rates and basket sizes have declined. However, total transactions are up year-over-year. Or in other words, customers are buying less fuel each visit, but are coming to see us more often as a result. While certain discretionary categories have declined overall fuel volumes remains resilient. And our view is that for most consumers, fuel is a necessity and higher prices have limited impact on volumes. Our International segment delivered an adjusted EBITDA of $82 million, an increase of $15 million compared to the same period in 2021. During the quarter, we saw growth in tourism and wholesale business, and most markets are easing COVID restrictions. Contributions from our acquisition in St. Maarten last year and supply synergies from our 50% partnership in the Dominican Republic also made material contributions to our growth in international. We continue to optimize our supply infrastructure, which helps minimize third-party freight expenses, while at the same time, driving higher fuel volumes. Our focus has been on optimizing our operating efficiencies in response to increasing demand, especially from the natural resource and tourism sectors and in leveraging our world-class supply platform to deliver a record quarter. Our USA segment delivered an adjusted EBITDA of $47 million, up $28 million from quarter one 2021. This growth has been led by a full quarter of results from our Urbieta retail network acquisition in Florida and our purchase of Lynch in the Pacific Northwest, both of which closed in quarter four 2021. We are actively integrating both businesses to maximize synergies. In the U.S., we have seen growing fuel volumes with the phase out of COVID-related measures. Driven by our team’s know-how and supply infrastructure, we continue to capture incremental margin through a volatile commodity price market. Lastly, let me touch on our new refining segment. And as a reminder, these results contain only the figures from our Burnaby refinery. The Burnaby refinery delivered $89 million in adjusted EBITDA, which includes $17 million in renewable EBITDA. The results were driven by a composite utilization of 92.2%, up from 91% in the same period last year and stronger refinery crack spreads. As a reminder, we managed our price risk by hedging crude feedstock. This resulted in risk management losses during the quarter because of sharp commodity price increases and the volatility of commodity prices had some timing impacts, which we expect to unwind in the next quarter. Lower co-processing also had an impact on the results this quarter. We continue to progress our bio feedstock capabilities, co-processing 1,400 barrels per day in bio feedstock during the quarter, including a world’s first in tall oil, which Ryan will speak to in a moment. The table on this slide shows a clear trend of quarter-over-quarter increases in our results, not only in adjusted EBITDA, but also in adjusted earnings and net earnings. Distributable cash flow has also increased up approximately 9% to $4.73 on a per share basis. This puts us firmly on track to achieve the 2025 ambition outlined at our Investor Days. Cash used in operating activities was also impacted by rising commodity prices during the quarter and reflects a $436 million working capital headwind. The next slide will address how we have improved liquidity and are maintaining a strong balance sheet during these volatile times. Move to the next slide. Our focus in 2022 continues to be to maintain a strong balance sheet and ample liquidity. As you recall, last year, we financed and refinanced $3.2 billion of bonds in a favorable interest environment. We also pushed out the maturities of our bonds to 2026 and later. And in quarter one we extended our secured credit facility by a year. We also decided to secure additional liquidity through a $400 million 2-year term loan on favorable terms after the quarter. We believe that this is prudent – this is a prudent move given the uncertain macro environment and especially volatile commodity markets. We currently have around $1.4 billion in available liquidity. We have also made progress on improving the underlying leverage, and you see that on the right in this chart. The strong cash generation in our business contributed to a reduction in leverage of 0.3 turns. And part of this was offset by the completion of the two previously announced transactions, Crevier and M&M Food markets. Higher commodity prices resulted in additional working capital requirements, which drove leverage up. And our priority continues to be to bring leverage down. And with the cash flow from our business, we will reduce leverage by about half a turn each year. Moving to Slide 6 and I will take a moment to outline some of the consumer trends we are seeing before inviting Ryan to outline our broad supply advantage. I’ll begin with our JOURNIE Rewards program, which continues to gain traction as customers value – as customers seek value and relevant personalized offers in the current inflationary environment. We experienced a significant increase in membership acquisition in the quarter. This was driven in part by our participation in Tim Hortons Roll Up to win contest and the strength of our partnership with CIBC. The Tim Hortons program was 100% digital. It proved effective to delivering double our typical new membership acquisition run rate. CIBC’s new co-branded Costco card drove significant acquisition in CardLinx, leading to an improved share of wallet with CIBC customers. As our membership continues to grow, so does engagement in the program. JOURNIE Reward members spent 16% more in fuel and 9% more in our C-stores. They also respond favorably to exclusive membership offers. As an example, in March, we deployed a flash sale offer where members had the opportunity to redeem a fuel discount on a limited time basis in the BC market. 47% of our mobile users redeemed this offer with 83% making at least one purchase over the 7 days of the program. We have also moved our Ultramar supreme saving days exclusively to JOURNIE Reward members. In the quarter – in the second quarter, we will begin cross-promotional offers between JOURNIE and M&M rewards programs. We continue to be encouraged by the results we are seeing from the program. Many potential partners are expressing interest to participate, which will further strengthen the program and improve its reach. Our relationship with Amazon Web Services is accelerating our customer segmentation and personalization offers. The team also has – the team has some great programs for the busy summer selling season. In 2019, we acquired the Tropic Oil Company. This was a natural extension to the robust marine diesel and lubricant business in our International business segment. The team has been working collaboratively to extend existing cruise ship relationships to new jurisdictions, including Barbados. This has added millions of incremental leaders of diesel volume. We recently announced the creation of our Parkland Marine division. This will enable us to leverage our supply and logistics capability while optimizing our existing and prospective customer relations across all geographies. Tourism gains momentum. We extended our relationship with an existing customer into the Vancouver market. This added approximately 130 million liters of volume to our marine network. We believe we are just getting started and have significant runway in this business. I will now pass it over to Ryan Krogmeier to talk about our supply advantage.
Ryan Krogmeier: Thank you, Marcel, and good morning, everyone. Turning now to Slide 7, Parkland once again saw the tremendous benefit of our supply advantage in our first quarter results across all of our segments. Our great people, our significant scale, our strong supplier relationships and our unique logistics capabilities provide us unrivaled optionality in ensuring we meet our customers’ demands by delivering feedstocks and products on time and on spec. Our logistics capabilities span the modes of rail, marine, truck and pipeline. Terminal and storage assets, whether owned or leased, provide us additional flexibility to source barrels for our own system and meet the needs of our third-party bulk wholesale customers. This winning combination enables us to physically arbitrage different feedstocks and product markets that maximizes both customer value and profitability to Parkland. Our world-class logistics, which includes our last mile trucking distribution capabilities, allows us to serve our customers’ needs and provides us the opportunity to strategically source and deliver products. For example, in the Rocky Mountain region of the United States we baseload our product requirements with regional refiners. However, PADD 4 refining capacity is simply not sufficient enough to meet demand and local refinery production must be shipped long distances. So product must be regularly imported to the region. Through our terminal network, our logistics capabilities and our supplier relationships, we can arbitrage in barrels from multiple supply sources, including Western Canada, the Pacific Northwest, the U.S. Gulf Coast and the U.S. Mid-Continent. We choose the best value and couple it with solid price risk management practices to deliver an optimized solution to our customers. We continue to strengthen our supply advantage by investing in our people and assets to enhance our customer offer, improve our team’s capability and continue to deliver safe and reliable operations. Moving now to Slide 8. As we have discussed on previous calls, co-processing provides one of the lowest cost compliance pathways and has required minimal capital investment to date, driving strong returns on investment. In the first quarter, we are pleased to announce a world co-processing first. The Burnaby refinery is the first facility to process tall oil in a fluidized catalytic cracker without pretreatment to produce low carbon intensity renewable fuels. The renewable fuels we produce at the refinery in aggregate contain approximately one-eighth of the carbon intensity of traditional fuels. This achievement was made possible through our team that has a proven track record of innovation, technical capability and ability to forge partnerships across a diverse supply chain of different feedstocks. And once again, this is all backed by strong logistics. Previously a waste product from the pulp and paper industry, tall oil further diversifies our renewable feedstocks and demonstrates our commitment to helping our customers decarbonize. I’d like to turn now to our Environmental Products business, and I’d like to highlight our activities in the rapidly growing carbon compliance and carbon offset markets. Parkland acts as a market maker between carbon offset or compliance originators and our customers who seek carbon offsets or compliance credit for regulatory compliance purposes or to support their low carbon ambitions. For example, we recently entered into a 10-year agreement with a food waste bio digester in the state of Maryland, who is producing renewable natural gas. We have separated the environmental attributes from the physical RNG and have back-to-back the sale of these environmental attributes as they are delivered to us. The global carbon compliance and offset markets are poised for exponential growth. It takes considerable know-how to be successful in this space. Our regulatory and risk management expertise enables us to manage the entire life cycle of these instruments, all the way from certification to registration to delivery and ultimately retirement. When taken together with our co-processing, our carbon compliance and offset business supports our sustainability leadership and provides a suite of products and services, allowing our customers to decarbonize their businesses. I’ll now hand back to Bob to close out our formal remarks. Over to you, Bob.
Bob Espey: Thank you, Ryan and Marcel, for a great overview of our quarter. I am grateful for the Parkland team’s commitment to our customers. Working together as one team, they delivered record results, demonstrating the strength of our proven integrated business model and our ability to thrive through various economic conditions. We entered this year with a great deal of momentum and confidence in our ability to advance our strategy. Q1 has reinforced that. We expect to hit the high end of our guidance and are on track with our ambition to generate $2 billion of run rate adjusted EBITDA by the end of 2025. As I’d like to take a moment to reiterate our focus for this year, having accelerated acquisitions in 2021, we are wrapping up the remaining deals in our pipeline. We are focused on integrating and capturing the synergies from the companies acquired and on slowly – on slowing down the pace of acquisitions to help strengthen our balance sheet. Despite macroeconomic uncertainties and ongoing volatility that will continue to play out during the year, the strength and resilience of our business gives me confidence in our performance. With encouraging tailwinds in each part of our business, we have a long runway of organic growth opportunities and much to be excited about as we advance our strategic initiatives. Our developed pillar is about providing our customers with the essential fuels on which they depend and integrating and capturing synergies from the great business we acquire. You should think of our diversify pillar as expanding our customer proposition by growing our convenience and food offers. We have tremendous opportunity here. We ended Q1 with a little over 400 On the Runs and expect to end the year with over 500, well on our way to a 1,000 by the end of 2025. I began this call with some comments on M&M. However, beyond their food capabilities, we are excited about bringing M&M’s active loyalty customers closer to our JOURNIE platform. We see significant cross-promotional opportunity, and we will begin joint promotional activity across our M&M and JOURNIE loyalty customers in the second quarter. Ryan already touched on our decarbonization pillar. This is about seizing new accretive opportunities through the energy transition, staying one step ahead of our customers’ evolving needs and helping them meet our environmental goals. In addition to growing our co-processing volumes by 30% this year, we are on track to launch our EV ultrafast charging network in BC during this summer. We are confident our convenience destination model will resonate strongly with EV customers. Parkland has an exciting year ahead. With that, I will now turn the call back to the moderator for questions.
Operator: Thank you. [Operator Instructions] Your first question will be coming from Ben Isaacson from Scotiabank. Please go ahead.
Ben Isaacson: Good morning, thank you and congrats on the great print. Bob, you guys called out in your U.S. segment new partnership contracts. I was wondering if you could talk about how meaningful those contracts are. How do they work? Are they annual, multiyear? Are they cost plus? What is the size of that market that you’re going after? And what can you realistically achieve and how do you get there?
Bob Espey: Yes. Thanks, Ben, and good question. Yes, we – when we bought our business in Florida, we picked up quite strong marine capability. And this is a great example of how Parkland can pick up a capability in one area and then deploy it across our business. And we’ve been able to do that successfully, both in our international and Canadian business. And a core customer within that market is the cruise ship market. And we’ve been able to pick up additional volumes for our cruise ship customers in our International business, but also recently extended that into Canada and seen some good wins there. These contracts vary. In some cases, they are a year. In some cases, they are a little longer. And again, our differentiator there is service and being able to service these customers in local markets with a reliable service provider.
Ben Isaacson: And just a follow-up, there has been lots of talk about logistics delays, congestion, poor rail cycle performance, rising costs. Can you frame what cost pressure you’re seeing, if any, or delays on the logistics front and how would you frame the risk of that going forward?
Bob Espey: Yes. Good question. We certainly are seeing the impact of inflation across the business. I’ll turn that one over to Ryan and he can talk to it specifically.
Ryan Krogmeier: Yes. Thank you, Bob, and thanks for the question, Ben. So let me break this down by a couple of different modes of transportation. On the rail and trucking side, we are seeing challenges with labor availability. We are seeing rising fuel surcharge costs that get passed on to us, which we ultimately pass on to our customers. On the marine side, with the invasion of Ukraine by Russia, that has put some limitations on the availability of vessels that we can utilize. And so those costs have gone up as well. However, again, those ultimately get passed on to our customers. Going forward, do we think the situation will be materially different? While it’s hard to prognosticate, the reality is it looks like we are going to find ourselves in similar situations over the short-term as we look forward. That’s the indication that we’ve gotten from our logistics providers such as the Class 1 railroads. They are looking at a very busy summer and into the fall and again, trying to address all of those challenges that I just mentioned.
Ben Isaacson: Thanks so much and congrats again.
Bob Espey: Thanks, Ben.
Operator: Your next question will be coming from Steve Hansen with Raymond James. Please go ahead.
Steve Hansen: Good morning, guys. Just a question on the refining side, if I may, the North American diesel and jet markets have become extremely tight here in recent quarters. It’s a notable transition from just 18 months ago. I’m just curious if there is any unique factors or issues that would allow you to capitalize on that any differently in the Vancouver market or that might even limit you for that matter. Just get a sense for how that’s going to trend going forward? Thank you.
Bob Espey: Great. Thanks, Steve. I’ll pass that over to Ryan.
Ryan Krogmeier: Sure. Thank you, Steve, for the question. It certainly is a volatile market and the middle cut of the barrel or what people call distillates, so it’s largely diesel and jet fuel have really been on a tear here from a pricing perspective. As consumer demand for air travel comes back, and then there has been strong demand for rail and ground transportation, which drives a lot of the diesel market. I think driving diesel up as well is the fact that we’ve got some natural gas that will no longer flow out of Russia into Europe and they substitute diesel for some of that natural gas. So the pressures are quite strong. When you add in the fact that we’re in spring maintenance season, so lots of turnarounds across the industry, it just exacerbates the supply/demand fundamentals that we see currently. How do we take advantage of this? So we approach the markets from the perspective of buy from the best available source and we optimize across our system. And that great logistics advantage that we have allows us to pull product in to any market that we currently sell into, and we do that on an opportunistic and a very flexible basis. And so we go where the opportunity is and we’ve been able to capture some fantastic arbitrage opportunities and keep our customers well supplied. I think that is critical. That is our first priority and to do it safely. So I hope that gives a little bit of color.
Steve Hansen: Yes. That’s enough for me, guys. Thanks.
Operator: Your next question will be coming from Neil Mehta from Goldman Sachs. Please go ahead.
Carly Davenport: Hey, good morning. This is Carly on for Neil. Thanks for taking the questions today. Just wanted to start kind of on the fuel margin and cost inflation environment a bit, it seems like up until this point, kind of fuel margins have been an offset to the higher costs that we’ve been seeing. But curious if you could opine a bit on how you expect the fuel margin piece relative to the cost inflation that you’re seeing to kind of evolve at the retail business as commodity prices persist at these higher levels?
Bob Espey: Carly, and thanks for the question. Always difficult to predict where fuel margins are going to go. They have been constructive here as we’ve seen costs escalate. Generally, I would say, in our industry, costs do get passed on. And certainly, over time, we see that fuel margins have offset general inflation.
Carly Davenport: Great. That’s helpful, thank you. And then the follow-up was kind of around the renewable comments that you’ve made and congrats on the progress there. Could you talk a little bit about the suite of feedstocks that you’re looking at co-processing? We’ve heard a lot about the tightness in the global vegetable oil markets. So curious if there are cost advantages that you’re seeing from running things like tall oil and if there is room to kind of grow the non-veg oil feedstocks as you continue to increase your co-process volumes.
Bob Espey: Yes. Look, we’re really delighted with what our team has been able to do at Burnaby, and I’ll pass it over to Ryan who can talk through the feedstocks.
Ryan Krogmeier: Thank you, Bob. Yes, specifically, we run several different bio feedstocks through our FCC and our diesel hydrotreater at the refinery. Let me just run those down a little bit. We process tallows, animal fats, used cooking oil, greases. We also co-process canola oil. And there are different grades of canola oil, super degummed, bleached and refined. All of those have different properties and thus drive different pricing differentials between the feedstocks, and then tall oil that we’ve talked about a lot today. We also continue in partnership with others to look at new feedstocks and being able to co-process those into the future. The big advantage that we have at the Burnaby refinery is this technology and the team’s capability there. But these feedstocks are also right in our backyard. The logistics advantages that we have are quite substantial when it comes to bringing these bio feedstocks into our facility. And as we look out into the future, these feedstock will become a growing concern in terms of availability. But our partnerships, our great logistics will enable us to really be in the race and to procure these feedstocks as we need them because we are often the highest netback, given the logistics advantages we have for these bio feedstock producers. And that’s a big advantage we have from our location in Vancouver.
Carly Davenport: Great. Thanks for all the color.
Operator: Your next question is coming from Derek Dley with Canaccord. Please go ahead.
Derek Dley: Hi, just turning back to Canada, and I suppose a bit in the U.S. But with the recent spike that we’ve seen in fuel costs, you mentioned you’re seeing more trips with lower volumes at the pump. Is this good for C-store traffic just given the fact that people are coming to your sites more often? Are you seeing a benefit there as well?
Bob Espey: Hi, Derek, it’s Bob Espey. Look, I would say the best data we have is through our loyalty program, which shows that where we can track and certainly get the data that you’re alluding to. And again, what we show is that folks in our loyalty program are more active at our sites. And, on average, have a higher spend, both on the fuel and the convenience category. And that translates through when folks are buying smaller amounts.
Derek Dley: Okay. And then switching just to the refinery, with the crack spread environment here remaining strong, can you just comment on how the hedging works in this type of environment? I mean, with oil prices where they are at, is it sort of – is it reset at the end of each quarter? Like should we expect a similar hedging loss in Q2 given the elevated price or is it the magnitude of the increase over the quarter?
Bob Espey: Yes. Great question, Derek. And I think the volatility and the results we were able to produce show the robust nature of our risk management across the organization. But again, I’ll let Ryan talk specifically to the mechanics.
Ryan Krogmeier: Yes. Thank you, Bob. Derek, we look at our risk profile every single day, multiple times throughout the day. So it is an ongoing, very robust process that we undertake. And we manage two basic elements of commodity price risk. First, we look at flat price risk. And secondly, we look at spreads. We look at time spreads, we look at location spreads. And we manage those all collectively in the context of where we believe we’re positioned prudently to both protect against the downside of a price drop or a disconnect in those key spreads like crack spreads that drive our business. And also, we attempt to maximize our cash flows along the way. So it’s a very robust process. We do not have a set time where we reset. And we position ourselves, as I just mentioned, again, so that we’re protected against an unanticipated or unexpected downside event. And we’re able to participate in the upside. As we go forward, what we will experience in terms of risk management, hedge losses really depends on what Bob said, which is the volatility in both flat price and those spreads, including the crack spreads that I mentioned. So to be seen, but that gives a little color on how we do think about our commodity price risk and how we manage it.
Marcel Teunissen: And then, Ryan, if I’d just add to that. So where we have derivative results, right? We have a physical offset. So in the financial results, you will see all of that sitting in gross margin. The comment that I made a little bit earlier on timing as to – suggest to and how some of the derivatives flow through the accounts. So we are basically managing to our best neutral position from a commodity perspective, particularly in a very volatile period as we saw in quarter one. There are some timing effects that will run through the accounts, and we expect some of that just to show up in quarter two from an accounting perspective. So hopefully, that helps.
Derek Dley: Okay, that’s helpful. Thank you.
Operator: Your next question will be coming from Michael Van Aelst with TD Securities. Please go ahead.
Michael Van Aelst: Hi, good morning. I think you mentioned that your volumes are about 10% to 15% below pre-pandemic levels still in Canada. And I’m wondering if you have a sense as to where they stand in your other divisions and whether you expect them to get back to pre-pandemic levels in the next year or two or is there structural changes?
Bob Espey: Hi Michael, Bob Espey, and thanks for the question. The – it’s interesting in Canada. And also do recall that in January, February, we did have further restrictions due to an outbreak in COVID. So, we have continued to see volumes trend stronger as provinces in Canada have opened up. So, we do expect that gap to close in Canada here over the next couple of quarters. And look, and are seeing robust traffic across all of our markets right now. Particularly when we get into summer, we are hoping to see that come back quite strong. U.S. has been pretty much consistent. We – although we did see some slowdown in 2020, we saw a recovery in ‘21 and ‘22. And then in our Caribbean or in our international business, we have seen tourism come back, particularly in the last couple of months. And that drives a lot of economic activity, including gasoline and diesel demand in those markets. So, we are seeing them come back. We are getting into the off season in those markets, where we will start to see that muted, but expect it to continue through as it would have in 2019 through the back end of the year. And then I would say on top of that, what the team has been able to do across all markets, particularly in our commercial businesses grow market share. We have seen – we talked about examples in the mining business, in the cruise ship business, but those are only two of many examples where we have been able to win additional volume. And in our international business, we continue to have a strong tailwind from the natural resource segments in various markets there. So, quite optimistic about continued volume growth as we go forward here.
Michael Van Aelst: That’s good color, Bob. In the U.S., you said you have seen the recovery in 2021 and 2022. And a lot of the industry data is showing that it’s still – like retail demand in the U.S. is still down 10% plus. Is – are your regions being like more remote regions, I guess, or less populated regions? Are they – have they rebounded a lot faster? And are they – are your regions back close to 2020 – 2019 levels?
Bob Espey: Yes. So, two things. One is, I mean our – the markets that we are in are the high-growth markets in the U.S. So, we do have a nice tailwind within those markets. The second thing is we have acquired a lot of business. So, what you are seeing there is a combination of the natural growth within the market and the M&A drive that. To pin it back to 2019 specifically, it was a little difficult for us to do because of all the growth we have had in those markets. But again, when we look at volume trends on a broader basis, we see them consistent with where they would have been in 2019.
Michael Van Aelst: Okay. And then just finally, can you give a bit more color on the progress being made in using your digital and analytical capabilities to drive the higher margins and maybe kind of supplement it with an example or two?
Bob Espey: Yes. So, as we have talked about, we have invested in a digital capability. Marcel referred to that and some of the ongoing projects through our partnership with AWS. And I would say, it spans sort of three different areas within our business. So, the first is on the consumer side and driving – mainly driving more loyalty and understanding consumer buying behavior and tying that to our loyalty program and as we get more refined in that offering specific promotions to customers within regions. Again, Marcel alluded to in a number of markets where we help consumers by doing what we called flash sales on fuel, which drove not only increased volume in our fuel business, but also the cross sale into convenience was quite strong. So, those are great examples on the consumer side where we can incent the demand. We do have, as we have discussed previously, a pricing platform in place and that allows us to price in a micro market and make sure that we can deliver the best value to consumers in that market. And we have recently – we are on the cusp of rolling that out in our U.S. business. So, we, to-date have not had that. So, we should see that help our U.S. business and then select markets in international. So, on the one hand, we are focusing on consumers. In our commercial business, which we haven’t really talked about, we are really moving there to a platform that allows us to add value through increased management of people’s fuel. Great examples of that are some of the work we do in marine where we can provide very specific customized solutions to customers. And then as Ryan alluded to, we are growing a capability within the carbon offset market, and we see that being linked to the digital interface with the consumer. And then finally, in the third area is around efficiency in our business where we continue to find opportunities to optimize in our supply system and generate some good incremental cash flow. Do you want to talk to the example in…
Ryan Krogmeier: Absolutely. So, to add to Bob’s comments just a little more comment on how we use it in supply. So, we do use artificial intelligence and machine learning on our – on the Trans Mountain Pipeline system, specifically as we head into what we call our monthly nomination process. It gives us insights into how other shippers maybe thinking about what to shift down the line. And again, we use that artificial intelligence and machine learning with a lot of data behind it as a great example of how we are harnessing this capability that we are building. And then as Bob alluded to, across our products value chains, our refined products value chains, we are also using machine learning and AI for optimization opportunities. So, that is to arbitrage between different supply locations. Again, we use those tools to assist us in making those decisions on an hourly basis every single day.
Michael Van Aelst: Very helpful. Thank you.
Operator: Your next question will be coming from Peter Sklar with BMO Capital Markets. Please go ahead.
Peter Sklar: Bob, on your renewables business, I heard you during the course of the presentation throughout two EBITDA numbers. I heard $25 million. I heard $17 million. And then within the renewables business, there seems to be like a number of different pockets there. There is renewable fuels, there is delivery, there’s this whole carbon kind of compliance and offset. So, can you just kind of clarify what numbers go with what?
Bob Espey: Yes, for sure. And I will turn that over to Marcel to clarify.
Marcel Teunissen: Yes. Good question Peter. Good question. So, you will see also in our financial disclosures as well. So. $25 million is the aggregate number of $17 million, which is part of the refinery, so mostly relates to co-processing, which Ryan talked quite a bit around. And $8 million will be in our Canadian segment, which is around some of the fuel – biofuel logistics as well as the carbon offset business sits within that part of the business. So, those two numbers together are $25 million, $17 million in the refinery and $8 million in the Canada segment.
Peter Sklar: Okay. And with all this new segmented disclosure you have, where does the Elbow River business fall? Does it fall in between Canada and U.S.?
Marcel Teunissen: It sits in Canada.
Peter Sklar: Okay. And then my next question is, Bob, I wanted to ask you, your – I believe you said your merchandise same-store sales. I am not too sure if this was for Canada or the U.S. or both is positive 1.7%. I would have thought given inflationary trends, there is a lot of price in there, which suggests to me that kind of net of price, you have – you are tracking negative. And so I don’t know if traffic is down or basket is down or all of the above. So, if you can just have some more flavor around that comp and if you were a little disappointed in it. And I understand the comp, I believe, is ex-tobacco.
Bob Espey: Yes. Look, I would say, I always want to see that number higher, as high as possible. And look, I would say in the core categories where we are certainly focused our marketing program, we are seeing well above inflationary growth. But I will turn it over to Marcel, who can talk specifically about the components of that metric.
Marcel Teunissen: Yes. And as I already shared a bit earlier, so beverages were up 8.5%, which are, of course, good margins. And then the central store categories, those were up almost 9%. So, that’s the reference Bob made. I think I would also point out that the comp for quarter one of this year compared to quarter one last year, where we had quite significant growth. I think the last year same quarter over 2020 was up 10%. So, we are still coming out of some adjustments in different COVID periods, Peter. So, that’s how I would describe it. And so we are completely to look forward into this year to grow this channel ahead of inflation. And the other thing I will point out just in terms of overall margins and the mix, which is really where we are looking at as well, that we have increased our margin by almost 3% of gross margin out of the convenience stores.
Peter Sklar: Right. But I mean you have – like you have highlighted the strong categories, but what – like what were the weak categories that dragged it down to 1.7%?
Marcel Teunissen: Yes. So, what we have seen, we have seen some reductions in things like car wash and a little bit, that is a discretionary spend, so – and it has to do with driving as well. Prepaid cards, we have seen those come down. So, those were the two categories that kind of were lower than the year before.
Peter Sklar: Okay. I went into an Ultramar this week. And I know it’s only one store, so maybe it’s not representative. But I had trouble finding your private label products in the store. And so I don’t know if they were there, and I just couldn’t find them. Have you backed off on your private label category, or is that like…
Bob Espey: Was that in On the Run branded site?
Peter Sklar: I can’t remember, to be honest with you.
Bob Espey: We do have a dealer offer and that may have been a dealer site. But if you send us the address of the Ultramar, we can give you the exact details on the operating model and whether or not we would carry our private label.
Marcel Teunissen: We haven’t backed off from private label.
Bob Espey: Yes. We haven’t backed off. In fact, we have seen it grow quite nicely.
Peter Sklar: Right. Okay. Thanks very much.
Operator: Your next question will be coming from John Royall with JPMorgan. Please go ahead.
John Royall: Hi, good morning guys. Thanks for taking my question. Can you talk about your outlook from here for refining? Crack spreads are obviously very strong at the moment. Do you think those types of levels are sustainable over the next couple of quarters? And then maybe what are you assuming when you talk about the high end of guidance, because I imagine if you didn’t have some conservative assumptions in there for refining, you might be raising guidance. And I know it’s only the first quarter, but just wanted to see your views there on refining.
Bob Espey: Sure. Thanks John, and I will pass it over to Ryan.
Ryan Krogmeier: Yes, John, I think that the market is supportive for this strength in cracks to continue throughout the remainder of this year. Backwardation has been incredibly strong in the market, which would incent both to lower inventories. And so that destocking is the signal that the market is sending. However, the market doesn’t – if you look at the inventory statistics, we are seeing a lot of areas, particularly in the U.S., where supplies are below that 5-year minimum. And so it’s quite constructive from our perspective for the remainder of the year. There will be volatility, however, as we go through the year. So, we expect that. We anticipate that, but we stay on course with our risk management plans. And of course, the most important thing we can do is run safely, reliably and at the highest utilization possible when profitable to process that last barrel. And that’s what we are going to do and deliver those strong margins if they continue in the marketplace.
Marcel Teunissen: And maybe just I will add to your question on overall guidance, John. So clearly, we have a very strong first quarter. We are very pleased with that. And so that’s why we have confidence that the guidance that we had – that we will finish the year at the top end of that range that we have given. We also recognize just like everyone else, there are quite a bit of uncertainty both in the macro environment, geopolitical. And so with all of that, we said, listen, we will continue to stay the course in delivering and printing good quarters here. And then we will see where we are at after the second quarter, if that warrants any change in guidance.
John Royall: Makes sense. Thank you. And then just sticking with the refinery, in terms of running tall oil at Burnaby for your co-processing, I am not as familiar with that feedstock. Can, you talk about supply availability there? And it sounds like others are not using it for biofuels, I think from your commentary at the moment. But are there other sources of demand that you are competing with? And do you think there is ample supply to support growth from the biofuels industry?
Bob Espey: Yes. Ryan, why don’t you…
Ryan Krogmeier: Yes, certainly. So, tall oil, again, as Bob had mentioned before in his comments, is a byproduct or a waste product that comes out of the paper and pulp industry. And as we – as you know, British Columbia has a significant forestry industry with lots of paper and pulp mills. And that is a huge advantage to us because this tall oil is produced literally within 150-mile radius of the Burnaby refinery. And so we do not compete with a large number of consumers for the tall oil currently. And in the future, again, given where we are positioned relative to the source of the feedstock, we believe we are going to be the best netback for the producer of that tall oil. And so we don’t see a lot of competition yet. What we like about tall oil is that it is actually – has a negative carbon intensity assigned to it. And that is a significant advantage over the competing feedstock such as canola and tallow that we also consume in the refinery. So, as we look forward, we will continue to develop that tall oil processing capability as we continue to look for additional feedstocks that are not on the market yet, but are in that innovation and commercial piloting stage and hopefully bring those into our toolbox as well.
John Royall: Very helpful. Thanks very much.
Operator: Your next question is coming from Matthew Weekes with IA Capital Markets. Please go ahead.
Matthew Weekes: Good morning. Thanks for taking my question. I think my first is just on the refining and thinking about some of the costs there in the quarter and kind of some higher costs associated with renewables compliance a little bit and understanding there were some mechanical issues there on the coal processing side. I was just wondering if those had been resolved and going forward, if you will be able to optimize the co-processing a little bit more and benefit from the offsets that you generate more on that and sort of the lower the operating cost and compliance side of the business there.
Bob Espey: Yes. Ryan?
Ryan Krogmeier: Yes. Thank you for the question. So, earlier this year, I just want to take everyone back to late last year when the Trans Mountain Pipeline had shutdown. Well, shortly after Trans Mountain resumed operations, we had another weather front that moved through Vancouver and it brought freezing temperatures. Refineries on the Pacific Coast really weren’t built to operate in freezing temperatures. And what happened to – as a result to our facility was we had a couple of issues to specifically our compressors that were mechanical in nature. And so to manage through those issues, we slowed down our co-processing through our distillate hydrotreater specifically. And we have addressed those issues that caused that slowdown. And I expect that you will see us back on track with our stated objectives for this second quarter. So, hopefully, that gives a little bit of color around our availability and our ability to utilize that co-processing capacity through the DHT as well as the FCC. So, that gives you a little bit of the mechanical challenges that we had. But again, we have addressed those, and we are in a different posture.
Matthew Weekes: Okay. That’s great. Thank you. My second question was about the acquisitions announced here. The one – the Caribbean acquisition and then as well the supply acquisition in Eastern Canada, I am just wondering strategically what prompted you to pursue these acquisitions. How did they come about? And how do you see them adding value to the business going forward?
Bob Espey: Yes. Why don’t I kick off with the acquisition in our international business, and I will turn it over to Ryan and he can talk about how we are building out infrastructure and the acquisition of OPAC. So, on – we did announce an acquisition to buy a footprint in Jamaica. It is a market that we are not in. We have previously talked about growing in adjacent markets. And this is a great example of where we can pick up a leading market position in those markets in Jamaica. And it fits very well with our supply capability within the market. So, we are quite excited to get that business closed and start to operate it.
Ryan Krogmeier: Thanks Bob. I think it speaks to our scale that I mentioned before in my comments. As we grow scale, we are able to take advantage of those great logistics capabilities that we have. And that’s in the international supply arena, in the United States and then in Canada. In Eastern Canada, again, we believe infrastructure is a critical component of moving our strategy forward. And that infrastructure is going to provide us the platform that we need not only to deliver conventional fuels or the fuels that we use today, but also for the fuels that we will use tomorrow. And that’s, again, increasing volume of renewable diesel and eventually sustainable aviation fuels. So, our acquisitions in Eastern Canada are not only to grow our scale, to give us additional arbitrage optionality, but it’s also to be able to pull through the products that our customers will demand in the future, lower carbon intensity fuels and to provide us the unique blending capabilities that we will need to be able to meet our customers’ demands in this space, again, looking towards a lower carbon intensity future across gasoline, the distillate cut and even lower down into the residual or the fuel oil cut of the barrel. So, that’s the platform that we are building to enable that capability.
Matthew Weekes: Thank you. I appreciate it. And lastly, thinking about the outlook and the confidence that guidance – that you will likely hit the high end of guidance this year. Does that include the impact of these acquisitions coming in, or is that before the acquisitions and really just based on the strong Q1 results and underlying fundamentals you are seeing in the business recovering volumes, margins and crack spreads and all that?
Bob Espey: Marcel?
Marcel Teunissen: Yes. So, the guidance that we provided previously includes all the acquisitions that we announced when we issued the guidance. And these particular acquisitions we spoke about, they haven’t completed yet. So, once they are completed, we will also factor that into our outlook.
Matthew Weekes: Okay. Thank you. I appreciate the commentary on that. That’s it for me. I will turn the call back.
Operator: There are no further questions at this time. Please go ahead.
Bob Espey: Great. Well, thanks for listening in and look forward to connecting next quarter.